Operator: Good day, everyone, and welcome to The Estée Lauder Companies Fiscal 2013 First Quarter Conference Call. Today's call is being recorded and webcast. For opening remarks and introductions, I would like to turn the call over to the Vice President of Investor Relations, Mr. Dennis D'Andrea. Please go ahead, sir.
Dennis D'Andrea: Good morning, everyone. On today's call are Fabrizio Freda, President and Chief Executive Officer; Tracey Travis, Executive Vice President and Chief Financial Officer; and Karen Buglisi, Group President of our M-A-C brand. Karen will discuss the evolution of M-A-C and its future opportunities. Since many of our remarks today contain forward-looking statements, let me refer you to our press release and our reports filed with the SEC, where you'll find factors that could cause actual results to differ materially from these forward-looking statements. Except when noted, our discussion of our financial results and our expectations are before restructuring and other charges. You can find a reconciliation between GAAP and non-GAAP figures in our press release and on the Investor Relations section of our website. I'll turn the call over to Fabrizio.
Fabrizio Freda: Thank you, Dennis. Good morning, everyone. Before we discuss the quarter, I want to acknowledge how terrific it is to be sitting here and holding this call on schedule beyond the difficult situation in the New York area this week. I am proud of the dedication of our employees who have enabled it to take place. I also appreciate all of you, taking the time to hear our discussion, where you may have more pressing matters. I hope you and your families are well and safe. Now I want to officially welcome our new Chief Financial Officer, Tracey Travis, to her first Estée Lauder Companies conference call. Tracey will review the quarter financials in a few minutes. I am pleased to report that our fiscal '13 first quarter sales in local currency were on target with our expectation, while diluted earnings per share came in slightly better than we anticipated. Sales grew 6%, a solid performance, following a 14% sales gain in last year's first quarter and worse than expected market challenges in Western Europe and Korea. Sales rose solidly in each of the 3 biggest brands and increased in our top 5 markets and emerging markets in general. In China, our third largest market, sales were again exceptionally strong, even against a tough comparison to last year. Additionally, our North America department store business continued to thrive, thanks to well-received product launches, effective advertising programs and excellent personalized service. Many of our brands and channels that have been growing rapidly in recent quarters maintained their momentum. Our luxury brands, including La Mer, Jo Malone and Tom Ford, continued strong double-digit growth, as did channels that tend to attract young consumers, mainly online and North America specialty retail. On reported sales -- our reported sales rose 3%, which was higher than we forecasted because currency movements were not as negative as we had expected. EPS rose 12% to $0.79, demonstrating how our winning business model leverages our sales growth into even greater profitability. We are encouraged that fiscal 2013 is off to a healthy start and our strategy continues to be successful every season. By focusing investment in the fastest-growing opportunities across our diverse brands, categories and geographies, we are able to increase sales even when faced with pockets of weakness and lower consumer spending. This quarter, we achieved share gains in several emerging markets including China, Turkey and in Brazil. Many of our brands gained share in established markets, including some in Western Europe. Since we have a lot of activity going on around the world, let me provide further details on our business by region. This quarter, our strongest sales growth came from the Americas, led by the United States, where our business was buoyant. U.S. prestige beauty continued to outperform mass during this quarter by 4 percentage points. La Mer increased its ranking to become the fourth largest prestige skin care brand on the strength of its new moisturizing soft cream, which is expected to be its biggest launch and account for a sizable amount of its global sales the first year. Our company's brands now represents 3 of the top 4 prestige skin care brands in the United States. We stepped up our commitment to the Canadian retailers about a year ago, and our combined efforts paid off with a high-single digit sales growth. Higher sales in Latin America were led by Brazil due to our initiatives to further establish our prestige presence. All told, we did well in Asia Pacific, but the region showed a sharp divide, with business rising in some markets, sliding in others. In China, our sales climbed 32%, primarily from reaching new consumers through expansion into Tier 2 and 3 cities. As we said in our last call, more of our growth will come from broadening our geographic presence. We took our brands into 6 new cities, bringing the total to 64, and opened 78 counters. We expect the new consumers to also purchase our products in airport shops in international destination when they travel. We were pleased to see modest growth in Japan, driven by success in foundations, which comprise a large portion of the makeup category and leverage our skin care technology. Our biggest challenge in the region was Korea, which we cited as problematic in our August call. In Korea, prestige beauty has been hit hard by inroads from local mass brand and weak retail environment, and our sales declined sharply there. These conditions also negatively impacted our travel retail business in that country. While our sales in Europe, Middle East and Africa region improved overall, markets in Western Europe and the travel retail channel were weaker than we had expected and affected our results. That said, we still grew in certain key markets such as U.K. or Germany, backed by the strengths of our innovation and focus on local relevance, as well as strategic brand expansion. We also saw continued success in the Middle East, South Africa and Turkey. Sales in our travel retail channel increased, but at a slower rate than in recent quarters. Retail sales of our products in the channel rose nearly 11%, more than twice the 4.5% gain in passenger traffic. But our net sales growth was constrained by select retailer destocking and the weakness in Korea, which is our second largest country in terms of sales in travel retail. We expect retail sales to continue at the current base throughout the remainder of the fiscal year. Our online business again grew strong double digits, fueled by new e- and m-commerce sites and solid growth from our brand and retailer sites, particularly in the European region. Our strategy is focused on channels with the best growth potential, in keeping with our brand equity and we expanded accordingly. M-A-C and Clinique, for example, were our first brands to begin e- and m-commerce in Spain, as Smashbox entered Boots pharmacies in the U.K. Also, Aveda opened a shop in the Minneapolis-St. Paul airport, its first foray in the travel retail channel in North America, with an eye on further expansion. Estée Lauder began a 24-store test in Sephora in North America, and Bobbi Brown opened a temporary pop-up store in New York City Grand Central terminal, which has been very successful. Each of our product categories rose in constant currency, but we were especially pleased with our success in hair care. Driving the growth was Aveda Invati collection for thinning hair, as well as greater salon distribution globally. Aveda began advertising Invati on TV and saw a quick response through its retail and online channels. Bumble and bumble sales increased as it expanded its specialty store distribution into 30 Boots doors in the UK. It's also growing in Sephora in the U.S. and we expect this retailer for us to bring great awareness to the brand and help drive also consumers to salons. Skin care, a key focus of our strategy, grew solidly as we continue to excel in creativity and innovation. Clinique North America skin care sales rose 10%, driven by the launch of Even Better eyes. Estée Lauder's latest Perfectionist serum was a hit and the brand continues seeing strong skin care growth in Asia. La Mer has been enjoying strong growth in Asia, and this quarter, its U.S. sales also rose significantly, more than 25% on the strength of its new moisturizing soft cream. Many brands have put an increased focus on makeup with good results, especially Estée Lauder and Clinique. We also launched the first makeup line for AERIN, in upscale doors in North America and the U.K. The luxury beauty brand has created -- was created by Aerin Lauder, and it's receiving great media attention. Smashbox grew double-digit as it is expanding internationally, and is an excellent addition to our portfolio. Also, within makeup, M-A-C enjoyed solid global growth and did well in the U.S. and in emerging markets. A standout was the Middle East, where it created lipstick shades for consumers there, another terrific example of our commitment to local relevance. Karen will describe M-A-C and its business more fully in a few minutes. In fragrance, local sales were essentially flat. On a positive note, Jo Malone and Tom Ford, our high-end brands, continue to do well, but they were offset by lower promotional sales from Estée Lauder and Clinique. This year, our hair retardant [ph] Designer Fragrances are continuing to improve their business model. Starting in fiscal year '14, we expect to resume greater fragrance launch activity for existing brands and new ones, such as Tory Burch and also Zegna, which will give us the opportunity to expand in the growing men's fragrance business. Fueling our global growth was an increasing advertising spending at the end of fiscal '12. We continue to increase our magazine advertising globally and accelerate our TV and digital ads. TV has become an extremely effective way to promote products and bring consumers to our counters. Some brands, like Aveda, have just started using the medium, while the others, it's now part of their overall media campaigns. Clinique for instance, ran commercials in numerous countries in the quarter for several products. For the remainder of the fiscal 2013, we will continue to pursue the most promising opportunities on a regional and local level, drilling down to appeal to groups of consumers with specific tastes and customs. These opportunities will likely be in the high-growth areas driving prestige beauty that we defined in our 10-year compass. Digital, specialty retailing, emerging market, traveling consumers and locally relevant innovation. There are many exciting developments underway in our second quarter, including the recent launch of our newest brand, Osiao, in Asia. This skin care brand, developed over 5 years in our Shanghai skin Institute, illustrates our deep commitment to Asia and China in particular. And Osiao shows how we develop products closest to our most demanding consumers. The brand debuted a few weeks ago in 2 Lane Crawford stores in Hong Kong, and we expect to launch it in China in the future. Heading into the holiday season, we feel positive about the programs and promotion our brands will offer, which target consumers from the value conscious to the high end. Aveda will begin selling in 15 Nordstrom doors later this month, which marks its first entry into North America specialty department stores. We expect the Nordstrom test will refer consumers to Aveda's large and important network of salons. Aveda remains deeply committed to ongoing success in the salon channel, and strengthening its presence within it. Zegna, one of our newest fragrance brands, will announce a major launch later this month and Marni, another new design fragrance brand is expected to roll out in February. Currently, we are preparing for the next phase of our Strategic Modernization Initiative, which is planned to take place in January. It will affect 10 business units in markets including China, France and Hong Kong. We anticipate a large shift of orders into the second quarter from the third, by retailers to avoid potential business disruptions. To date, all of our SMI implementations have gone relatively smoothly. We operate in more than 150 countries and territories worldwide, and at any given time, there will be ups and downs, a situation that we see today. This year, we expect to see continuing strong demand for prestige beauty in the U.S. and China, offset by weak markets in Korea and certain European countries. We believe the global prestige beauty will climb about 3% this year, and we expect to grow at twice that rate, or 6% to 7%. At this time, we are also raising the lower end of our diluted EPS range for fiscal year 2013. Throughout our history, we have demonstrated our ability to manage successfully through various economic environments and use the opportunity to strengthen or expand our business. Our Board of Directors continues to show its confidence in our strategy and our strong fundamentals. This morning, we announced we are raising our annual dividends by 37%, to $0.72 per share. We also said that beginning in calendar year 2013, we will transition to paying dividends quarterly instead of annually, deliver value to stockholders throughout the year. In addition, the board increased our share repurchase authorization by 40 million shares. The fourth year of our winning long-term strategy is successfully underway, and we are confident in our ability to achieve our goals. I want to thank our strong organization and our valued employees for their ability to drive the business and react quickly, even in soft economies, while continuing to build long-term capabilities. Finally, I want to note that all our employees are safe following the recent storm and our facilities were not damaged. We hope to resume normal business operations shortly and appreciate the efforts of our employees during the past few days under difficult circumstances. At this time, we are in the process of estimating the impact of the storm on our business and we'll know more in the weeks to come. But we don't expect it to be material. Now I will turn the call over to Karen, to tell you what's in store for M-A-C.
Karen Buglisi: Well, thank you, Fabrizio, and good morning, everyone. I started in the beauty industry more than 20 years ago and joined M-A-C in 1998 when Estée Lauder took full [indiscernible]. In 2010, I was honored to become the brand's global President. M-A-C was founded in 1984 in Toronto as a professional makeup brand. Staying true to our makeup artistry and fashion heritage has enabled us to agree [ph] great success and enhanced brand equity. And we are proud to say that M-A-C is #1 in prestige makeup in many countries, such as the U.S., U.K., Canada and Mexico, as well as in emerging markets like Brazil, the Middle East and India. M-A-C is the third biggest brand in Estée Lauder Companies' portfolio and one of the most profitable. Which is impressive when you consider that about 95% of our business is done in just makeup. Our strength in this category is even more pronounced given that we trade in less than 2,000 doors in just over 80 countries and territories globally, compared with many of our competitors that are in at least 3x as many doors. This speaks to the fact that M-A-C's economic model is based on highly productive doors. Over the last 10 years, M-A-C has quadrupled global sales and profits. Our largest region is North America, where M-A-C is the second largest brand in the company, growing at an average annual rate of 12% over the past 10 years. By staying true to our brand credo, All Ages, All Races, All Sexes, we have as many consumers under 25 as over 45 years old, and we have plenty of consumers in every age in between, and over 40% of our consumers are non-Caucasian. Since this is a more established market, we grow by recruiting new consumers into prestige beauty through limited traditional advertising like print and outdoor, in tandem with disruptive digital content as well as through enhancing our unparalleled High-Touch in-store experience. Currently, M-A-C's international business makes up just over half of our sales, up from 23% 10 years ago. Its average annual growth rate of 25% over the past decade was driven largely by the U.K. and continental Europe. International will continue to be M-A-C's growth engine, led by these markets and a growing emphasis on emerging markets, Asia and travel retail. One of our most important emerging markets is Brazil, where we launched in 2002. M-A-C was the trailblazer there and continues to be the leader in prestige makeup. However, over 97% of the market is in mass and masstige, so our growth potential lies in continuing to convert customers to prestige, as well as capturing the growing middle-class and traveling consumer. There are often no high-end department stores in emerging markets like Brazil and India, but M-A-C has been able to introduce the brand like through our stand-alone stores, an important point of differentiation for many of our competitors. Freestanding stores allow the truest expression of the brand, and M-A-C's retail concept is proven, productive and profitable. Currently, we operate about 300 freestanding stores globally, which represent almost a quarter of our business. Freestanding stores bring greater brand awareness and with street locations, mall locations and flagship stores like Times Square in New York, which is now our #1 door globally. We are opening our second flagship store in New York City on Fifth Avenue this month, and a third is planned to open on Champs-Élysées in Paris next February during Fashion Week. Another point of differentiation is our High-Touch makeup service model. M-A-C artists are our #1 customers and active brand ambassadors. We employ over 10,000 artists globally, giving our artists a career with M-A-C, which leads to higher loyalty and lower turnover. We have the largest number of most highly skilled makeup artists in the world working for us, which allows us to provide advanced artistry and expertise to our consumers. We will continue to prioritize artist recruitment, retention and development to maintain and enhance our superb service offerings. Another aspect of our unique business model lies in our constant innovation. We launch something new, a product color story collaboration or regionally relevant collection every week, making newness our advertising and promotion. This pulls in consumers looking for something new and fresh, and provides ample content for buzz building, where it amounts support for the brand. Despite all this activity, only about 15% of our sales come from new launches, although over 75% of our total global editorial coverage is on new collections and collaborations. Much of this coverage is in digital media. M-A-C already has a strong digital and social media presence, and the brand received the highest digital ranking in beauty from L2 last year. We are the #1 cosmetic brand on Facebook with 4 million fans, and Facebook is the third biggest driver of traffic to our e-commerce site. We are also the #1 subscribed luxury brand on YouTube with over 6 million video views. We have over 270,000 followers on Twitter through our M-A-C brand handle and senior artist, and our tumblr site is constantly updated with makeup looks from the 850 global fashion shows we support every year. For us, social media is the evolution of the word-of-mouth advertising that's built this brand, and we plan to continue fostering these online communities through engaging content and consumer participation programs. This fiscal year, we are expanding our 11 global e-commerce sites with 5 more, and plan to launch in Belgium, in Spain, in Italy, Poland and Turkey, as well as introduce local sites in all e-commerce markets. Lastly, the heart and soul of M-A-C is the M-A-C AIDS Fund and Viva Glam. The M-A-C AIDS Fund was established in 1994 to support men, women and children living with HIV and AIDS, and is financed by the sale of Viva Glam products around the world. 100% of the sales of these products is donated to the fund, and since its inception, over $270 million has been raised, which makes M-A-C the biggest corporate donor for HIV and AIDS in the U.S. Viva Glam has also proven to be a powerful loyalty driver for M-A-C artists, M-A-C consumers and I can say the M-A-C President. I'm happy to announce the M-A-C AIDS Fund Board of Directors approved today our Hurricane Sandy relief fund of $500,000. We have come a long way from our humble beginnings 28 years ago, and we are committed to sustaining our leadership in prestige makeup category and driving our growth by fostering our core markets, expanding internationally with a focus on Asia, emerging markets and travel retail, growing our freestanding store distribution and retailing expertise, expanding aggressively our e- and m-commerce business, evolving our High-Touch artistry experience, launching innovative and regionally relevant products and leveraging our fashion heritage and visual expertise. And given the brand's relatively high profit margins, M-A-C's future success will also benefit the entire corporation. Thank you. And now I'd like to turn the call over to Tracey.
Tracey Thomas Travis: Thank you, Karen, and good morning, everyone. As a quick reminder, my commentary on the quarter and the outlook excludes restructuring and other charges, which is consistent with the way we have reported results in prior quarters. As Fabrizio noted in his remarks, we delivered sales in the quarter in line with our expectations while managing increasingly challenging economic environments in some of the markets where we operate, and while anniversary-ing strong sales growth results in our prior-year quarter. In local currency, net sales rose 6% with all regions and product categories contributing to growth. Net earnings for the quarter increased 11% to $312.1 million compared with $281.5 million in the prior year, and diluted EPS came in above the top end of our expectations at $0.79. Sales of skin care products rose 7% in local currency, and we generated growth in all of our regions. New product launches from Estée Lauder, Clinique and La Mer, combined with continued strength in China, helped the category grow this quarter on top of the 20% local currency growth we experienced in the prior-year quarter. In makeup, local currency sales rose 6%. Results were driven by solid gains primarily from new and existing products at Clinique and M-A-C. Our fragrance business rose very slightly in local currency. Double-digit growth from our luxury brands was offset by lower promotional sales from Estée Lauder and Clinique. In hair care, sales rose 12% in local currency. Aveda benefited from the success of the new Invati product line and other product launches. All 3 of our hair care brands expanded distribution, including Aveda and Bumble and bumble, adding new salon customers to their network. Geographically in the quarter, sales in our Americas region increased 8% in local currency. Within the Americas, the United States, Latin America and Canada each rose 8%. From a channel perspective, our North American sales to department stores and in our own freestanding retail stores grew 6%, while sales in multibrand beauty stores, online and salons rose double-digit. In Latin America, sales in Brazil grew 25% driven by the strength of the M-A-C sales and expansion that Karen just shared with you. In the Europe, Middle East and Africa region, sales increased 2% in local currency. Our travel retail sales, which are represented within the EMEA region also grew by 2%, as double-digit retail sales growth in the channel was mostly offset by trade destocking as well as challenging business conditions in the Korea travel retail channel. Several Western European countries, including the U.K., Germany and Austria grew mid-single digit while Turkey, the Middle East, South Africa and our Nordic markets all grew double digit. This growth was partially offset by continued softness in other parts of Europe, primarily Spain, France and Greece. Our business in Russia also remained difficult in the quarter. However, our comparison should begin to ease next quarter as we anniversary the deceleration of shipments in Russia that began last year. Switzerland also remains weak, as the relative strength of the Swiss franc compared to the Euro, encourages some cross-border shopping. Asia Pacific region sales rose 7% in local currency. China grew sharply, primarily from the expansion of brands, doors and new cities. Our business was also strong in Thailand and Hong Kong, and we were pleased that Japan was up 2%. We experienced weakness across all channels of distribution in Korea, as challenging economic conditions impacted retail sales and some consumers traded down to lower-priced local brands. Our gross margin increased 50 basis points to 78.9%. The increase came from favorable mix and pricing of 90 basis points and favorable currency of 10 basis points, partially offset by a foreign transactional tax provision, manufacturing variances and obsolescence of 60 basis points. We leveraged operating expenses in the quarter as they declined 90 basis points as a percent of sales to 60%, primarily due to a 70-basis-point drop in general and administrative cost, and a 40-basis-point drop from favorable currency. Both marketing and selling costs were lower by 20 basis points each, and our previously discussed cost savings initiatives reduced expenses by $17 million in the quarter. These improvements were partially offset by higher stock-based compensation cost and higher IT investments of 30 basis points each. Operating income rose 11% to $482.4 million, and operating margin rose 140 basis points to 18.9%. In August, we issued $500 million of long-term senior notes at very favorable rates. In September, we used $230 million of the proceeds to redeem 7 3/4% senior notes that were due next year. Net interest expense was essentially flat in the quarter. We recorded a pretax expense on the extinguishment of debt of $19.1 million, equal to $0.03 per share. Charges associated with restructuring were negligible in the quarter. The effective tax rate for the quarter was 33.3%. We used $125 million of operating cash flow this quarter, which is typically when we are seasonally constrained by working capital requirements ahead of the peak selling holiday season. Days sales outstanding increased to 57 days compared to 50 days at the end of the quarter last year due to the timing of collections. Inventory days to sell rose to 177 compared with 163 days last year. This inventory level has been adjusted for approximately 18 days of promotional material such as samples and testers, whose costs flow through operating expenses rather than cost of goods. The increase in inventory reflects the anticipated inventory support to support near-term sales growth as well as additional inventory to maintain service levels in advance of the SMI Go Live in January. For the year, we expect inventory days to remain in line with fiscal 2012 at approximately 165 days post-SMI implementation. We spent $96 million for capital projects this quarter, as we continue to invest in counters, information technology and retail stores. During the quarter, we repurchased approximately 3 million shares of our stock for $165 million, and this morning, we announced that our Board of Directors has increased our buyback authorization by 40 million shares, which brings our total outstanding authorization remaining to purchase to 52 million shares. We are overall pleased with our first quarter results. I would like to now share with you our outlook for the second quarter and for the fiscal year. As we have stated previously, our stated goal is to grow our top line at least 1% faster than the growth in global prestige beauty, which we believe will be 3% in fiscal 2013. Our full year sales are forecasted to grow 6% to 7% in local currency, or double the prestige beauty rate, including approximately 2 percentage points from pricing. Based on current exchange rates and the forecasted strengthening of the dollar over the course of our fiscal year, we now anticipate a negative currency translation impact of about 2 percentage points on our full year sales growth. Our estimate includes weighted average rates of $1 25 for the euro, $1 55 for the pound and $0.80 for the yen. Our cost savings initiatives are expected to save between $50 million and $55 million for the full year. We will continue to increase investment in advertising, merchandising and sampling efforts, as well as to build capabilities within our organization to enable our strategic initiatives. That said, we continue to expect operating margin expansion of about 70 to 90 basis points for the full year. Our fiscal 2013 effective tax rate is estimated at 31% to 33%. We are raising the low end of our guidance for fiscal 2013 and now expect diluted EPS to be between $2.47 and $2.56, an increase of between 9% and 13% compared to prior year. Excluding a $0.06 impact of foreign exchange, our EPS is expected to increase by a strong 11% to 15%. Both of these EPS ranges exclude the onetime charge of $0.03 related to the repurchase of debt, as well as $0.01 for restructuring charges. For the fiscal year, we expect to record restructuring charges of approximately $5 million, equal to the $0.01 per share. Our second quarter sales are planned to grow 6% to 7% in local currency. Currency translation could negatively impact our reported growth by approximately 1.5 percentage points. As part of our SMI program, we plan to go live with SAP at our next wave of affiliates in January, and as a result, we expect retailers will advance some of their orders into our second quarter. While the timing is consistent with last year, we expect the potential shift in orders to be much higher, ranging from $70 million to $90 million versus the $30 million we experienced last year. Additionally, we are increasing our marketing investments in the second quarter in support of both our launch calendar and to support our strong existing products in certain markets. Our cost savings initiatives are expected to generate $15 million to $20 million in savings for the second quarter, and EPS for the quarter is estimated to come in between $0.97 and $1.03, which includes a negative currency effect of approximately $0.02. As Fabrizio mentioned, I want to note that our current expectations do not take into account the possible impact of this week's storm that passed through the New York metropolitan area. Thankfully, and mindful of the considerable damage experienced in the region and with the tremendous commitment of our employees to resume normal business operations, none of our facilities have experienced property damage and despite some power disruption, we do not, at this time, anticipate the impact to be material on our business results. And that concludes my prepared remarks on the quarter and the guidance for the balance of the year. Before I turn the call back to the operator, let me say that I am pleased to join the Estée Lauder call this morning as we report our fiscal 2013 first quarter results. I've been warmly welcomed by the organization and I'm proud to join a team that has built both an outstanding portfolio of brands and has demonstrated its ability to leverage opportunity and create significant value for its stockholders and its customers. I do look forward to continuing to build on the strong efforts of the team by working closely with Fabrizio, the entire leadership team and my finance and other teams to focus our resources to support the strategic growth initiatives that have been developed, take a fresh look at our Strategic Modernization Initiative, SMI program and the next potential areas of profit-enhancing initiatives, and partner with the brands and the supply chain group on inventory optimization and the disciplines necessary to accelerate further cash flow generation and further margin improvement. And in addition to Fabrizio's acknowledgment of the extraordinary events and efforts that occurred this week, I would like to particularly thank the finance and investor relations teams for their commitment this week to reporting results this morning, as many of them were personally impacted by Hurricane Sandy. And that does officially include or conclude my prepared remarks. At this point in the call, we'll be happy to take your questions. Operator, can you assist us with that?
Operator: [Operator Instructions] Our first question comes from Neely Tamminga with Piper Jaffray.
Neely J.N. Tamminga - Piper Jaffray Companies, Research Division: So just want to dig a little bit in, now that we have Karen on the call this morning on M-A-C and some of the opportunities for M-A-C. Could you just talk a little bit more about Brazil and dot-com for us? Could you offer some insights as to how Sephora, assuming you go through some of the Sephora doors down in Brazil, what maybe some of their expansion plans are down in that region, or how far penetrated you are with Sephora, down in Brazil? And then from a dot-com perspective, I'm just trying to size up the dot-com relevancy to the M-A-C brands and maybe how that index is relative to Estée as well as Clinique.
Fabrizio Freda: This is Fabrizio, before giving the word to Karen, I just want to say that we are not in Sephora, Brazil with M-A-C, at this point in time. But I'd like Karen to answer the question.
Karen Buglisi: Certainly. I would love to talk a little bit about Brazil, because it's probably the most important emerging market that we have. Currently, as I stated, we are the leader in prestige makeup there. We have about 30 points of distribution. We plan to double -- we're in 11 cities. We plan to double our distribution in the next 3 to 4 years and double the number of cities that we're in, so we will continue to trailblaze for the prestige beauty market there and recruit customers into beauty, into the prestige market. Secondly, dot-com offers a great opportunity for us, especially m-commerce. Right now, our m-commerce is 12% of our overall e- and m-commerce, so we think there's a great opportunity for us to continue to maximize those channels.
Operator: Your next question comes from Nik Modi with UBS.
Nik Modi - UBS Investment Bank, Research Division: Fabrizio, can you just frame kind of you -- the longer-term opportunity in China. Just trying to understand kind of, as a percentage of the total distribution you could potentially have, where are you today and kind of how do you see that investment and that strategy playing out over the next couple of years?
Fabrizio Freda: Yes. As we say, we are today, in 68 cities in China. We believe there are at least 100, 120 cities that already now will be ready for the distribution. If, from a consumer standpoint, if the distribution network will be available. So our plan is to continue to expand into Tier 2 or 3 cities, is continue expand, particularly our most successful brands, the brands which are more ready for the expansion. Our plan is to continue advertise and build awareness for our brands in China and basically to continue expansion in this way. To be clear, if you look at the -- what's happening in China in this moment is that the market in Tier 1 cities in our industry is growing less aggressively than in the past, in term of comp growth, particularly. And -- but the potentials of continuous expanding into new cities and attracting new consumers is enormous. That's why, this quarter we grew 32% in this situation. The other thing that is part of the plan is to continue working on what we call the traveling corridors for China's consumers. We know today that there are a lot of consumers that are traveling, and this consumer traveling are coming actually, from these Tier 2 and 3 cities where we are just launched recently or where we are not yet in. Which means that the expansion in Tier 2 or 3 cities, in turn drives also the expansion in travel retail and in what date by when they travel. And the other thing we know is today, 70% of our online sales in China come from cities in which we are not distributed, indicating that the consumer demand is already there and we need just to continue accelerating the distribution. So that's it.
Operator: Your next question comes from David Wu with Telsey Advisory. The question has been withdrawn. Your next question comes from Chris Ferrara with Bank of America.
Christopher Ferrara - BofA Merrill Lynch, Research Division: Tracey, maybe this is an unfair question, given that you've only been there, let's say, it's your first quarter. But can you just talk about your view on the balance sheet? I mean, the dividend increase is great, but can you talk about, in general, the status of the unlevered balance sheet and how you feel about that, right? I mean, do you think there is a path to more aggressive use of it and what do you see for M&A opportunities?
Tracey Thomas Travis: David, that is an unfair question after 2 months, but I'll do my best to respond. So I think, obviously, our capital structure is something that we discuss on a regular basis with our Board of Directors, and that includes our dividend issuance, our share repurchase activity and the amount of debt that we hold as a company. I think right now, given the increase that we announced this morning, as well as the additional share repurchase activity, we are certainly, and the board is certainly committed to returning cash to shareholders, that we deem to be excess at this point in time and increase shareholder value. In terms of debt, we obviously did most recently take on some additional debt, some of that was to retire old debt. But we do have slightly higher debt than we had previously on our balance sheet, and I think we're very comfortable with that at this point in time. It has been discussed previously that we certainly are open to appropriate acquisitions to enhance our portfolio, and I think we'll make those judgments at that time with respect to how we fund those acquisitions. But at this point in time, we think we're pretty comfortable with our capital structure.
Operator: Your next question comes from Alice Longley with Buckingham.
Alice Beebe Longley - The Buckingham Research Group Incorporated: My question is about your guidance for organic sales growth for the year, it's 6% to 7%. It was 6% the first quarter, and then if you take out the accelerated shipments in Asia, above and beyond what you had last year, it looks like your organic sales growth in the second quarter is 4% to 5%. So that means it sounds like you're expecting accelerating organic sales, adjusted for these timing issues in the second half. Can you explain why that's the case?
Fabrizio Freda: Yes. As we said before, we believe we will grow 6% to 7%, which is double the market. And in this moment, the market, our estimate is we grow about 3%. Just to be fair, this is different what we felt in August. In August, we felt 3% to 4% would have been the market growth. And the reality, what we have seen, particularly in some southern European markets which are now on the negative market trend. And in Korea, which is flattened, while it was a very strong growth market in the past, we had to readjust our point of view on the global market for the fiscal year. Then in term of our plan, we continue to grow market share and to grow, both in great markets like China or North America in this moment. And frankly, we continue to grow and grow market share in many of the weak market that we are seeing, yes. For example, in places like Italy, we continue to grow well ahead of the market trend, the same in France. So it's good results. The reason why we believe we will accelerate as or generally are twofold: First of all, we have an initiative plan, and an innovation plan, which is very strong there; second, we have a strong innovation plan supported by extra advertising in the second quarter this year. We will spend $80 million more advertising in the second quarter of the year versus last year, which we believe will add a good, a very strong influence on the third quarter sales and results, and obviously, also on the fourth quarter. So this year, because of the calendarization of our innovation, and because of the -- our intention to push our best opportunities as soon as possible in the fiscal year, we have an anticipated increased advertise through the second quarter. As you remember, this was happening mainly in the fourth quarter in our previous year. And I think this will be beneficial to the further acceleration in the last 6 months. So in a nutshell, is calendarization of initiatives, key opportunities by market and the impact of our advertising behind us, and the innovation plan, that we believe will further accelerate the sales growth. Lastly, keep in mind that we have a very high base in the first 6 months of the fiscal year from last year, and we have an easier base to beat in the second 6 months of this fiscal year.
Operator: Your next question comes from Ali Dibadj with Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Actually I just have one follow-up from a previous question and then another one. So just to get underneath this kind of spending, and impact on margins, I mean, one of the bigger stories that has been very positive about Estée Lauder, is the margin expansion and as we look at gross margins, as you look at SG&A opportunities this quarter and going forward, it's still a little bit more detail. I know you try every once in a while, but just a little bit more detail about where the opportunities lie, going forward. And how much of the investment has to be increased investments to just grow the way it used to grow? And then tied to that a little bit, but a part of the other question is, if you could give a little bit more detail about Europe and how that may figure into it. So how much of the European issues we're hearing are really impacting the consumer versus just retailers and inventory, and how should we think about that going forward? So part of that's for 2 questions, but hopefully, you can help.
Fabrizio Freda: Yes, and I'll try to answer both, Ali. And Ali, I'd like then Tracey to add on, on what I say on this question. So let me start with Europe. So what we see in Europe is that the markets are, in [indiscernible] in Italy, in Spain, in Greece, in Portugal, and now also in France, are start being tough and negative, frankly more than what we expected, the markets. We are doing well in these markets, but the markets are very, very tough and there is less consumers buying than what we originally expected, which is understandable, given the very tough economical situation. What happens in this case, when you have a worsening of the market in Europe, is that trade start destocking as well. And this happens because, as you know, the retail stocks in Europe are pretty high. So Europe is a market where, where we see a deceleration, deceleration is actually increased by the combined trade destocking. At the same time, when we see an acceleration, the acceleration is increased by the trade restocking. So that's what you should expect in Europe, that's why you see this -- the variation. Now what we expect in Europe for the future, our estimate in this moment is that the negative markets based in south of Europe will continue for the fiscal year. And then I believe they will stabilize and then probably start bouncing back in the '14 and '15 years. But for the moment, we assume they will stay bad for the remaining of the fiscal year. To answer your second question, is -- we are continuing cutting cost, and we are continuing improving gross margin. We are continuing reducing promotions and particularly, we are continuing to drive our mix of initiative, very strongly toward the most profitable and the most important and the most potential. Thanks to these leverage points, we are generating the possibility of advertising more. And also, you should know, that in the company we have developed, what I believe is the best innovation program that we probably have had for the next 3 years. So we want to be able to finance these innovation launches to exploit a best, the great asset of this company, which is our great brands, our great innovation program for the next years. So what does it mean, it means that we will continue to increase advertising spending in absolute term. This doesn't mean that we will continue year after year to increase the percentage of money in advertising, sorry, in total AP spending. And also we, deem the [indiscernible] spending total, we will continue to look for a way to make it more efficient, and to make it more efficient will include winning more money from promotion and push activities into brilliant pool activities in the key markets. And the last thing I want to add to this, we do this with enormous agility, at a gate [ph] part of our way to work today is that when we have, like now, market like China or U.S. having a particularly strong opportunity, we are able to move funds and push our wins in this market with much more agility than what we could do in the past, which in turns, make our advertising spending more effective. And then, we are trying to drive our more profitable mix channels. The reason why we have been introducing in this call, try the retail some time ago, then online, today M-A-C, is basically to make you more familiar with what are the strong volume and profit drivers in our organization at this point. Tracey?
Tracey Thomas Travis: Yes. I think Fabrizio summed it up well. The only thing that I would add to it is the company has laid out a number of cost savings initiatives and expense leverage initiatives, which I think you're all familiar with, that have really helped and support a lot of the things that Fabrizio laid out over the last few years, helping to increase advertising expenses or expenditures in a very strategic way, while increasing or expanding our margin. We are certainly focused on continuing to identify projects and programs within the organization that allow us to better leverage expenses. One of the things that I know has been discussed quite a bit on these calls has been the Strategic Modernization Initiative, and the SAP implementation, which will certainly allow us to improve some of the areas like inventory optimization, which can -- will have tremendous benefits with respect to cash flow improvement, as well as expense and margin improvement as well. So we're pretty excited about the next few years with all of the capability building that's happened in the last couple of years, to be able to continue to leverage expenses and continue to grow with the innovation that Fabrizio indicated.
Operator: Your next question comes from Caroline Levy with CLSA.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: Question on the SAP impact to sales and earnings in the second quarter. If there's any way you can quantify that and how that would compare to the SAP impact from the year before. So is it more, adding more to sales growth and earnings than it did a year ago? And then also, if you could just elaborate a little bit on the trade destocking in travel retail in particular. So the difference between retail takeaway of up 12 and the up 2 that you reported and when you expect that might normalize.
Tracey Thomas Travis: So why don't I answer the SAP shift, and then Fabrizio can answer the second part of your question. As I said in my prepared remarks, you're absolutely correct, the impact this year, given the number of affiliates that we have rolling out in January, is greater than it was in the prior year's quarters. So this year, we're expecting approximately $70 million to $90 million in sales to shift between the third quarter into the second quarter, and that compares to about $30 million last year. So that's what the impact will be in the quarter.
Fabrizio Freda: Yes. And on travel retail, is -- the destocking has been mainly in Asia and in the Americas, and was the result of a change of rhythm of increased traffic in July, particularly, and then adjusting in August. And some of the retailers decided to destock. We don't believe this will continue. We believe that the overall net sales will gradually align to the retail sales in the remaining of the fiscal year. And I explained in my prepared remark, the retail sales increase in travel retail globally, has been about 11%, despite a tough quarter in Korea, which is 15% of our total global travel retail business.
Operator: Your next question comes from Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Just to follow up on the SAP pre-buy. I mean, I think in years past, it was like a 70% to 80% operating margin on those sales, pulled forward? So just when we model it, do we assume those same kind of margin levels? And then, the -- my real question is, if things really start to get dicey out there, do you guys have sort of a contingency plan in place that can preserve earnings, meaning that, are there some investments you could pull back on, or are you just going to invest straight through, because it's sort of better for the long-term health of the business?
Tracey Thomas Travis: Okay. So to answer the first part of your question, yes, you can assume the same type of margin on those, that -- on that sales shift in the quarter.
Fabrizio Freda: And the second question's yes. We have a pretty sophisticated contingency system, as you have probably seen in the last 2 years, where every brand has an element of contingency and flexible spending. In the course of our year this contingency of flexible spending is then flexed to profit protection or to further investment on our winners, depending how the markets and our fiscal year goes. So we have the opportunity, in case things will get worse in some markets, to protect our plans. To be clear, the way we protect our plans is not necessarily protecting on the profit, but the best way in which we protect our plans is to be agile enough to move resources to our winners, and to be able anyway to protect also our top line growth in the course of the year, wherever we can. So when things get tough, we can protect profit, but most importantly, we can direct our resources where things are not tough, actually are good. And to be clear, the strengths of our portfolio is that our many brands, many channels, many countries, our broad approach in the world offer always, frankly, a possibility to find areas which are growing fast, which are solid, and which is worth investing in. So it's a balance of being able to protect and agile enough to be able to leverage what is working.
Operator: Your next question comes from Mark Astrachan with Stifel, Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: I guess on advertising, we're just trying to get a better handle on sort of the incremental spend. So is the absolute amount that you're planning to spend for fiscal '13 the same as you pulling forward some of that into this December quarter? And then, more broadly, I know you've talked a little bit before about AMS spending moderating as a percentage of sales over time, maybe give us a bit of an update in terms of how you're thinking about that now, particularly as it may seem like there seems to be an increasing correlation between that spend and your sales growth.
Tracey Thomas Travis: Okay. So our advertising full year dollar expenditures are expected to increase this year. As Fabrizio noted, the calendarization of the spend is a bit different this year than last year, so we're seeing a fairly heavy spike in the second quarter, which will be offset by a decline in the fourth quarter as it relates to our plans this year. But full year, we are expecting to increase the advertising spending we have. As we had mentioned before, a tremendous launch program this year that we certainly want to be able to support. We are, however, this year, expecting to leverage advertising and promotion expense. So it will not be deleveraging on our margin.
Operator: Your next question comes from Linda Bolton-Weiser with Caris & Company.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: I know you made some comments about Russia, but maybe you could give a little bit more color -- just Oriflame on their call the other day mentioned that they felt that the traditional retail channels were gaining share from direct selling in beauty in Russia and that they said there -- they felt there was a very high level of promotion in the regular retail channels. Could you comment, is that more of the mass cosmetics or is that prestige too? And can you just give a little more about the market dynamics in Russia? And also, can you give us some idea as to what size it is for you guys, what percentage of sales, roughly?
Fabrizio Freda: Yes. Russia is a small percent, it's a very small percent of our sales. It's around 2% of our sales. The -- what's happening in Russia, the market is growing double-digit overall, the prestige market in Russia, and we are growing double-digit or more with most of the retailers we work with in Russia. But there is a retailer with which we don't have an agreement for the plan forward, and we are discussing with them. So the reason why we, in this moment in time, we are not fully exploiting the growth of the Russian market and we are delivering results in Russia which are below market growth, which is unique, because in all the other emerging markets, all the world in this moment it's just the opposite is happening, meaning we are growing much faster than the market. In this market, the reason why it is happening is because we don't have yet a final agreement with one of the retailers. And so we are evaluating what will be the right strategy in the future to continue growing in Russia at this point in time.
Operator: Your next question comes from John Faucher with JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: I was wondering if you could sort of take your category growth comments and then your targets and sort of put them in the context of what you're seeing from a competitive standpoint. Because it seems as though the incremental spending is just about trying to get more out of your marketing budget for fiscal 2013, as opposed to an increase in spending. So do you think that just simply moving the support forward is enough to, I don't know whether you're accelerating your market share gains, or at least sort of maintaining your market share gains? So can you walk through the incremental spending in the context of what you're seeing out there, competitively?
Fabrizio Freda: Yes. No, we are intentionally growing double than the industry, so we are growing market share globally and our estimate is the market will grow at about 3%, and we are growing -- we will grow 6% to 7% in our estimate, so we will definitely continue to accelerate global market share. In terms of our main, biggest competitors, we have been growing stronger than them every year, and the most of the quarters, if you look to our history in the last 3 years, it would be only a few quarters where some of our competitors have been growing faster than us, and this is normally associated with the calendarizations of events, rather than with a strategic change. So we are a fast growth company, we have defined fast growth as at least 1% ahead of market every year. So when the market grow 4% to 6%, we will grow 6% to 8%. In a year, where the market seems to grows 3%, particularly because there are some big markets in the world, like the south of Europe, which are negative. When this happens, we may grow 6% to 7%, like we are saying this year. But anyway, is always the same logic, is growing double than the market, much better than the industry, and normally with, again, with the exception of a few quarters, we will believe we'll be ahead of competition in term of growth.
Tracey Thomas Travis: And the only thing I would add to what Fabrizio was saying in terms of our spend this year and the reason we can get a little bit more leverage out of it, we're far more targeted in the spend this year, in terms of the products that we're supporting, and the markets that we're supporting as well, which is allowing us to get tremendous leverage on the dollars.
Operator: Your last question comes from Victoria Collin with Atlantic Equities.
Victoria Watson Collin - Atlantic Equities LLP: Fabrizio, I apologize if you said it already, but I wonder if you could give the same-door sales figure for China, please. And then also maybe a little bit of color on the Q2 guidance, particularly in your key markets. What are you expecting for the holidays, something more buoyant than last year, presumably, for the U.S.? And maybe just the detail on whereabouts in the market you expect to see that?
Fabrizio Freda: Yes. The same-door sales in China's been 2% in the quarter. And in term of the holiday, we frankly have early indication of a very solid holiday season and we have great programs out there, some of our programs appeal to value consumer, to consumer which are interested in value, and some of our program appeal to the high-end consumer. We believe we have very balanced programs and very promising. And the first indications, that should be good and we get this indication from online. We have a very strong beginning of online activity linked to holidays, so we are pleased with the first reaction to our programs, and we are encouraged by what we see for the holidays.
Operator: That concludes today's question-and-answer session. If you were unable to join the entire call, a playback will be available at 1:00 p.m. Eastern time today through November 15. To hear a recording of the call, please dial (855) 859-2056, and then enter passcode 53701080. That concludes today's Estée Lauder conference call. I would like to thank you all for your participation, and wish you all a good day.